Operator: Please wait. The conference will begin shortly. Please wait. The conference will begin shortly. Welcome to Nexxen International Ltd.'s fourth quarter earnings call. At this time, participants are in a listen-only mode. The question and answer session will follow at the end of the presentation. This call is being recorded, and a replay of today's call will be made available on Nexxen International Ltd.'s investor relations website. I will now hand the call over to Billy Eckert, Vice President of Investor Relations, for introductions and the reading of the Safe Harbor statement. Billy, please go ahead.
Billy Eckert: Thank you, Operator. Good morning, everyone, and welcome to Nexxen International Ltd.'s fourth quarter earnings call. During today's call, we will discuss our financial and operating results for the three and twelve months ended December 31, 2024, as well as our forward-looking guidance. With us on today's call are Ofer Druker, Nexxen International Ltd.'s Chief Executive Officer, and Sagi Niri, the Company's Chief Financial Officer. This morning, we issued a press release, which you can access on our IR website at investors.nexxen.com. During today's conference call, we will make forward-looking statements. All statements other than statements of historical fact could be deemed as forward-looking. We advise caution and reliance on forward-looking statements. These statements include, without limitation, statements and projections regarding our anticipated future financial and operating performance, market opportunity, growth prospects, strategy, financial outlook, partnership, and anticipated benefits related to those partnerships, anticipated benefits related to the recent changes in the company's trading security structure, anticipated benefits related to the company's intended growth in platform investments, forward-looking views on macroeconomic and industry conditions, as well as any other statements concerning the expected development, performance, and market share, competitive performance relating to our products or services. All forward-looking statements are based on information available to us as of the date of this call. These statements involve known and unknown risks, uncertainties, and other factors that may cause our actual results to differ materially from those implied by these forward-looking statements, including unexpected changes in our business or unexpected changes in macroeconomic or industry conditions. More detailed information about these risk factors and additional risk factors are set forth in our filings with the US Securities and Exchange Commission, including but not limited to those risks and uncertainties listed in the section entitled "Risk Factors" in our most recent annual report on Form 20-F. Nexxen International Ltd. does not intend to update or alter its forward-looking statements, whether as a result of new information, future events, or otherwise, except as required by law. Additionally, the company's press release and management statements during this conference call will include discussions of certain measures and financial information in IFRS and non-IFRS terms. We refer you to the company's press release for additional details, including definitions of non-IFRS items and reconciliations of IFRS to non-IFRS results. At this time, it is my pleasure to introduce Ofer Druker, CEO of Nexxen International Ltd. Ofer, please go ahead.
Ofer Druker: Thanks, Billy. Q4 capped off an incredible year for Nexxen International Ltd. as we generated record quarterly and annual contribution ex-TAC for programmatic revenues and CTV revenue results, alongside significantly expanded profitability. Our success in 2024 was a byproduct of getting back to basics. After completing the integration of Amobi in 2023, we focused on driving stronger sales execution, installing key talents, keeping final messaging, boosting our brand recognition, and organic product and data innovation. Our achievements on this front fueled strong results and, alongside our planned AI innovation, positioned us for continued market share gains in 2025 and beyond. Following these improvements, we have consistently received validation from the market that our years-long strategy to operate an end-to-end platform, connect our data platform to our tech stack, and enrich its capabilities and focus on CTV and video placed us well ahead. Since 2019, we have operated an end-to-end platform, which we believe gives us a clear competitive edge as others in the industry are only now working to try unlocking the benefits of this approach. While one-sided peers are trying to replicate our model, we have an advantage of years of experience serving advertisers, agencies, and digital publishers across the ecosystem, supported by our fully functional and robust DSP and SSP technologies. Currently, we believe our DSP and SSP rank and manage top in terms of scale and reach within the publicly traded open Internet ad space, especially in CTV. Our end-to-end tech platform and operating model benefits customers by enabling enhanced results through access to robust targeting data alongside simplicity and cost efficiencies, while offering a larger TAM and growth opportunity for Nexxen International Ltd. compared to one-sided platforms. Customers can flexibly choose to work with us through one or more solutions, enabling us to learn and expand with partners. Throughout 2024, we were successful in growing relationships with existing customers, including several independent agencies and CTV OEMs like LG. We generated significantly increased spend consolidation and multi-solution adoption, driven largely by our efforts to get all of our enterprise DSP customers to adopt Nexxen International Ltd.'s SSP as a preferred SSP, which fueled greater end-to-end revenue and, in turn, strong growth and expanded profitability in 2024. We entered the year with much stronger platform capabilities following the successful integration of Amobi in 2023. Amobi brought a powerful enterprise display capability, enhanced our data capabilities, and bolstered our CTV and omnichannel offering, the combination of which positioned us for deeper penetration with large customers, including independent agencies. As I will expand on later, we are enhancing our platform data and technology capabilities several steps further throughout 2025 by strategically deepening our AI capabilities and deploying generative AI innovation across our core products. Building on our success and momentum from 2024, we are confident that our planned AI initiatives will make our platform's user interface more intuitive and easier to navigate, better linking customer results to the strength of our tech and data, reducing reliance on user sophistication, and expanding our market opportunity. By unleashing and integrating generative AI across our core offerings, we will refine our audience targeting precision and deepen the interconnectivity of our platform solutions, which we believe will generate even stronger returns for our customers and drive greater spend consolidation. We firmly believe these combined efforts will not only boost our standing within the industry but also accelerate our long-term growth, differentiation, and strategic value to industry leaders. The timing could not be more ideal to deepen our AI capability. Having laid a strong tech and data foundation by integrating Amobi in 2023 and launching Nexxen International Ltd.'s data platform in 2024, the combination of which has propelled Nexxen International Ltd. into a new era of ad tech leadership and differentiation. Nexxen International Ltd.'s data platform is integrated with our DSP and SSP and has become central to every key discussion with customers, partners, and the industry, while establishing us as the leading data-first platform. The platform unifies all our data assets and capabilities, creating a wide range of interconnected and advanced data solutions working in synchrony to drive better results for our partners. Nexxen International Ltd.'s data platform features our proprietary audience discovery technology, unified ID graph, curated media capabilities, and robust TV-focused data tools, highlighted by our exclusive access to Vizio's global ACR data and our TV intelligence solution, which incorporates seven far-reaching TV data sources. We believe this reflects one of the most comprehensive data offerings in ad tech, and it has tangibly fueled better returns on advertising spend for customers, greater confidence in our holistic solution, and, ultimately, increased spend consolidation. Nexxen International Ltd.'s data platform is unique, enabling our customers to onboard first-party data, enrich it with our powerful data sources to extend audience reach, activate audiences on our DSP, and measure, eliminating the need for other partners. With an open and scalable approach to data, our platform is also built to thrive regardless of changes in the addressability landscape. We have generated early adoption from notable partners, while our ACR data exclusivity is driving more and more data licensing partnerships with major players in the industry like The Trade Desk and StackAdapt. This highlights that Nexxen International Ltd.'s data platform is not only powering better results for its customers but also increasing our value and recognition across the ecosystem. In 2025, we will continue leading with Nexxen International Ltd.'s data platform and expect to build on the success we achieved in 2024 following the launch. Outside of our data platform release, our strong Q4 and full-year 2024 results were driven by CTV, one of our core pillars where we expect to continue increasing our competitive advantage and growing our market share. Our years of focused investment in building an ecosystem designed to deliver better results for both advertisers and TV publishers have positioned us for continued success. Our platform unifies TV-focused DSP, SSP, and TV data solutions, enabling seamless experiences and better returns for our customers, creating a clear value proposition. CTV advertisers are seeking more direct relationships and integration with publishers to generate better returns, while CTV publishers are seeking greater and unique advertising demand, as well as solutions designed to maximize their revenue and efficiency. With our capabilities strongly positioned to assist and enhance results on both fronts, our end-to-end CTV-focused platform is a perfect fit for both sides of the ecosystem, providing a larger CTV market and growth opportunity for Nexxen International Ltd. compared to one-sided peers. Additionally, our simplified messaging and stronger brand recognition have driven customers and new partners to recognize us more and more as a true CTV ad tech leader. With billions of dollars in linear TV ad budgets expected to migrate to digital over time, particularly as large sports shift towards CTV, we believe we are well-positioned for long-term CTV revenue growth through our robust access to premium CTV and live sports inventory alongside our CTV-focused tech and data capabilities. We also anticipate more major CTV and streaming players will seek partnerships with Nexxen International Ltd. going forward, as the industry is recognizing the value that our collective solution can bring. Amidst strong execution on our strategy, in Q4, we added 112 new actively spending first-time advertisers, customers, and self-service DSP customers, including 18 new enterprise and three new independent agencies leveraging our self-service solution. We also added 73 new supply partners, including some of the industry's most well-known free ad-supported streaming services. In addition to our data and tech advancements, our success in attracting and onboarding new talent across our sales, marketing, and product teams at both senior and middle management levels has positioned us strongly for future growth and accelerated innovation. We have continued to see an influx of talent eager to join Nexxen International Ltd., including from peers and renowned industry leaders. In Q1, we also evolved our trading structure by streamlining to a single U.S. ordinary share listing on NASDAQ, which we believe enhances our long-term capital appreciation potential. When we executed our secondary listing on NASDAQ in 2021, we were certain it would be in our best interest to eventually delist from AIM and move solely to the U.S. ordinary share listing. But before we could make these changes, we needed to accelerate our growth and await a stronger advertising environment for the move to be well-received by investors. With these factors now in line, we believe over time these changes will increase our U.S. footprint and recognition, drive greater liquidity, improve our screening on financial data platforms, and increase our eligibility for inclusion in select indices. Finally, as mentioned earlier, we are executing on a clear strategic vision to strengthen our platform by deepening our AI capabilities, inclusive of generative AI and machine learning. In 2025, we are launching our first material generative AI-driven innovations with new solutions rolling out in H1 and throughout the year. AI has been core to our platform for years. By further scaling these capabilities through generative AI implementations across our vertically integrated platform, we believe we will be able to deliver stronger performance, better operational efficiency, and cost savings for our customers across the key jobs of planning, activation, optimization, and monetization. Generative AI is not a buzzword for us. Our end-to-end technology stack, connected to a wealth of data, enables us to unlock value for our customers through generative AI in ways one-sided solutions cannot. This year, we are implementing AI-driven enhancements across our DSP, creative studio, and data platform audience creation and analytics capabilities, focused on two key objectives: The first is to simplify platform usability by deploying AI agents that we believe will lower barriers to entry, foster customer spending growth, and expand our market opportunity. These agents will provide real-time campaign optimization suggestions and integrate directly with our activation tools, driving better returns on ad spend and widening our platform's utility to a larger base. The second objective is to optimize the use of our robust datasets, focusing specifically on enhancing our data and audience capabilities, which we believe will significantly improve targeting precision and reach, and also lead to higher customer returns and increased spending on our platform. While there are no low-hanging fruits for us to achieve short-term AI innovation wins, in other instances, our more complex initiatives will take time before we reap the full benefits of our investments. That said, we are confident these enhancements will accelerate our long-term growth, make Nexxen International Ltd. a fundamentally stronger company, and solidify us as a strategic partner and platform of choice for industry leaders in the years to come. 2022 and 2023 were years of acquisition and integration. 2024 was focused on transformation, simplification, and innovation, and in 2025, we believe we are poised to achieve market share gains and acceleration. After years of enhancing our platform, business, trading structure, and simplifying our messaging, we are better positioned than ever to execute. Our strategy is resonating, and customers across the ecosystem are continuing to flock to Nexxen International Ltd. for our flexible platform, data, CTV, video, and omnichannel capabilities, and we believe our AI investments will further advance our competitive edge, differentiation, and leadership position. I'm excited to continue supporting and driving innovation for our partners. And with that, I'm happy to turn the call to Sagi.
Sagi Niri: Thank you, Ofer. Q4 was very strong for Nexxen International Ltd. as we exceeded the rule of fifty, generating 16% year-over-year contribution ex-TAC growth and an adjusted EBITDA margin of 42% on a contribution ex-TAC basis. In Q4, we generated contribution ex-TAC of $105.2 million, which reflected an all-time quarterly record. Programmatic revenue was $98.7 million in Q4, reflecting 15% growth from Q4 2023 and an all-time quarterly record, while contribution ex-TAC from our non-programmatic business lines increased $1.9 million year-over-year in Q4. Growth in Q4 was driven by stronger sales execution following our recent platform, business, and brand recognition enhancements, scaling partnerships, improved advertising conditions, particularly within the CTV market, greater multi-solution adoption by customers, and the U.S. election cycle. We observed strength in CTV, video, display, data products, self-service products, and PMPs, and increases across most of our industry verticals, with the largest increases observed in our government, retail, finance, automotive, health, and technology verticals. On the opposite side, we experienced a year-over-year decrease in mobile video revenue within our travel and education verticals. The majority of our contribution ex-TAC strength in Q4 was driven by CTV, as we generated CTV revenue of $37 million, reflecting 86% growth from Q4 2023 and an all-time quarterly record, as CTV revenue represented 38% of our programmatic revenue, up from 23% in Q4 2023. Our robust CTV revenue growth was attributable to a combination of factors. Those factors include stronger sales execution, better recognition within the CTV market following our rebranding to Nexxen International Ltd., an improved macroeconomic and industry environment, which drove new and existing customers to our premium CTV solutions, benefits related to our partnership with LG, and tailwinds from the 2024 U.S. election cycle. Our CTV revenue growth drove our video revenue to expand significantly as a percentage of programmatic revenue to 75% in Q4 2024 from 67% in Q4 2023, as CTV revenue growth substantially outpaced mobile video revenue decline. We've boosted our CTV and video capabilities over the last several years and will continue investing in enhancing them further. As a result, we expect video revenue to remain a primary growth driver for Nexxen International Ltd. over time. We continue to see customers increasingly choosing to partner with us and allocating more budget towards our video solutions, as our data-driven video and CTV-focused platform oftentimes drives better target audience reach extension and return on advertising spend than other platforms within the industry. Elsewhere, contribution ex-TAC from display grew 9% year-over-year in Q4, while self-service contribution ex-TAC increased 21%, driven largely by strong growth within our enterprise DSP solution. Additionally, in Q4, contribution ex-TAC from PMPs grew 20%, and contribution ex-TAC from data products grew 102% year-over-year. The 2024 U.S. election cycle contributed approximately $6 million in political contribution ex-TAC in Q4 2024, and approximately $10 million for full-year 2024, reflecting new quarterly and annual political contribution ex-TAC records for Nexxen International Ltd. In Q4, we also generated adjusted EBITDA of $44.3 million, the second-highest quarterly adjusted EBITDA in Nexxen International Ltd.'s history, reflecting a 38% increase from Q4 2023. Our significant adjusted EBITDA growth was driven by higher contribution ex-TAC, greater customer spend consolidation, lower than expected costs in the quarter, and customers increasingly adopting multiple solutions within our ecosystem, particularly as our enterprise DSP customers access more inventory through our SSP. Our adjusted EBITDA margin in Q4 increased to 42% as a percentage of contribution ex-TAC from 35% in Q4 2023, and we remain confident in our ability to continue expanding our adjusted EBITDA margins over time. In 2024, our contribution ex-TAC retention rate increased to 102% from 73% in 2023, amid greater customer spend consolidation and expanded multi-solution adoption, underscoring the benefits of the platform, sales team, and brand enhancements we've made since the completed integration of Amobi and rebrand to Nexxen International Ltd. The increase was further supported by us proactively and strategically discontinuing relationships with smaller customers that were not generating significant revenue or profitability for Nexxen International Ltd. to sharpen our focus on better servicing and growing revenue relationships. As a result of these combined factors, for full-year 2024, our contribution ex-TAC per active customer increased to roughly $526,000, reflecting 69% growth from 2023, and we believe we remain well-positioned to continue expanding our contribution ex-TAC retention rate over time. In Q4, we generated $52.3 million in net cash from operating activities compared to $43.6 million in Q4 2023. As of December 31, we had $187.1 million in cash and cash equivalents, $90 million undrawn on our revolving credit facility, and no long-term debt, following the full repayment of our approximately $100 million of pending principal long-term debt balance in April 2024. We also reported non-IFRS diluted earnings per ordinary share of $0.48 in Q4 2024 compared to $0.20 in Q4 2023, or $0.24 in Q4 2024 compared to $0.10 in Q4 2023 on a pre-reverse split basis. During Q4, we repurchased roughly 4.5 million ordinary shares, or 2.25 million shares on a post-reverse split basis, reflecting an investment of £15.6 million or $20.1 million. From March 1, 2022, when we began a series of share repurchase programs, through December 31, 2024, we invested roughly $157.3 million in our repurchase program, buying back approximately 37.9 million ordinary shares, or roughly 19 million shares on a post-reverse period basis, which reflected approximately 24.5% of our shares outstanding. Our current and ongoing $50 million share repurchase program, launched on November 19, 2024, is expected to continue until the earlier of May 19, 2025, or completion, and is now being executed on NASDAQ following our voluntary delisting from AIM in mid-February. As of December 31, 2024, we had $38.4 million remaining on our share repurchase program authorization and $17.4 million remaining as of February 28, 2025. Additionally, our board of directors approved the launch of a new $50 million ordinary share repurchase program following the completion of the current ongoing program. The new program is expected to begin on the earlier of May 19, 2025, or completion of the currently ongoing program and continue until the earlier of November 19, 2025, or completion. If shares remain at prices the board believes continue to reflect a discount to fair value following the end of the current and impending program, we will consider initiating an additional one thereafter. With that, I'll turn to our outlook. For full-year 2025, we anticipate generating contribution ex-TAC of approximately $380 million, with programmatic revenue expected to reflect approximately 90% of full-year 2025 revenue. We also expect to generate approximately $125 million of adjusted EBITDA for full-year 2025 and to expand our CTV revenue and data licensing revenue compared to 2024. For full-year 2025, we expect our sales and marketing expenses, G&A, and depreciation and amortization to reflect roughly the same percentage of contribution ex-TAC as in full-year 2024, and we expect R&D expenses to increase as a percentage of contribution ex-TAC. In full-year 2025, we anticipate stock-based compensation expenses will increase compared to 2024, largely due to our increased share price compared to 2023. Our awards compensation committee, with guidance from its independent consultant, has approved an updated executive compensation philosophy aimed at aligning total target pay near the median of the committee-approved comparative group comprised of similarly sized U.S.-listed companies operating broadly similar businesses. Consisting of base salaries, cash bonuses, and long-term equity incentives, the program closely ties actual executive pay to the achievement of predefined revenue, EBITDA, and relative total shareholder return goals, ensuring the executive performance of the business. While remaining at or below median dilution levels of our comparison group. As Ofer mentioned, throughout 2025, we will be investing more in advancing our tech, data, and AI capabilities, increasingly integrating generative AI across our core products to drive better platform usability and returns on advertising spend for our customers. Our two primary capital allocation focuses in 2025 will remain on share repurchases and investing in our platform, as we currently have no plans for major M&A in the near term. Looking ahead, we remain hyper-focused on growing revenue relationships with customers by working to gain larger budget terms and fostering increased multi-solution adoption across our end-to-end ecosystem, building off our success on these fronts in 2024. We will also seek to attract new sizable partners to our platform in 2025 and grow our CTV, omnichannel, and data licensing revenue opportunities. In 2025, we will continue focusing on expanding relationships with independent agencies, where we believe we are particularly well-positioned to serve as a strategic partner, have a strong growth opportunity, and can establish a dominant position and niche within the industry. These independent agencies are expected to continue gaining market share from major holding companies for the foreseeable future, and we believe our platform is uniquely and strategically positioned to help support and benefit from that growth. Our tech platform's ability to serve customers flexibly and holistically, alongside our robust data capabilities, gives us confidence in our positioning to drive increased customer spending, attract new partners, and achieve sustainable long-term growth, expanded profitability, and market share gains. We also believe Nexxen International Ltd.'s ability to land and expand with customers through multi-solution end-to-end adoption gives us a larger market and long-term growth opportunity than one-sided peers. After a strong and transformational 2024, our momentum has carried over to this point in 2025. We believe we have all the right pieces in place to continue building on our success from 2024 with a stronger platform that we are continuing to strategically enhance through generative AI, as well as an improved sales organization, value proposition, and brand. 2025 is now all about execution. We want to thank our shareholders, employees, and partners for their support, and we look forward to increasing our U.S. investor presence following our recent shift to a single U.S. ordinary share listing on NASDAQ, which we expect will benefit Nexxen International Ltd. and its shareholders over the long term. With that, Operator, we'll now take questions.
Operator: Thank you. We will now begin the question and answer session. If you would like to ask a question, please press star one on your telephone keypad to raise your hand and join the queue. To withdraw your question, simply press star one again. If you are called upon to ask your question and are listening to be allowed speaker on your device, please pick up your handset and ensure that your phone is not on mute when asking your question. Again, press star one to join the queue. And your first question comes from the line of Matt Swanson with RBC Capital Markets. Your line is open.
Matt Swanson: Great. Thank you. Congratulations on the quarter, particularly relative to kind of how uneven this earnings season's been for a lot of peers. Ofer, the customer and publisher additions were strong in the quarter. It really aligns with what we've been talking about in terms of flipping from defense to offense, post-Amobi integration. Can you talk a little bit more about the go-to-market improvements and how you're looking to build on some of this momentum into 2025?
Ofer Druker: Thank you, Matt. Thank you also for the question. I think that the change that we've done after the integration of Amobi is, of course, material. We considered also in the results. But part of the thing that we are talking about go-to-market is changing the brand and improving and tightening the message to the market, make a lot of difference because people now understand better what we are basically offering and how we can help them grow their business. And we see a lot of good response from the market. Around that, the people starting to, you know, the sales of the behavior of the other parts or other peers in the market that everybody's trying to build an end-to-end solution. While we already got it ready, and we are working with that for the last almost six years. And it's helping us to do that. But we feel also that the brand and the connection of everything under one umbrella is basically, as I mentioned, improving the message. And the data. In every discussion that we are doing, data is basically is a very key point because people understand more and more the value in data and how they can integrate it into their business. And it's helping us, of course, because we are one of the only platforms that is always the integration and it's very rich in data and enabled the partners from both sides of the screen, like, the advertisers and the publishers to launch, to utilize their data, to enrich it, and to utilize it on the platform. So I think that all of that together, end-to-end, usage of data, a strong reach in CTV, is helping us to reach publishers and advertisers that want to work with us, and we see the result in the number that you mentioned.
Matt Swanson: That's great. And then Sagi, there's a lot of, I guess, we'd call it, noise in the macro right now. Could you just give us kind of an update on what you're seeing in Q1 so far and then also kind of how you're thinking about the environment in your full-year guidance?
Sagi Niri: Yes. So thank you, Matt. I think that, you know, as we said in our call a couple of minutes ago, we are seeing a normalized environment, you know, post the election cycle in the U.S. We enter 2025 on the same sentiment we ended 2024. As everybody is aware, you know, the macro is a little fragile and changing every day. But at this point in time, we are not seeing any change, you know, in something that we didn't anticipate or something that can even affect our 2025 results. So for now, business as usual, we are moving ahead. And as you asked also before, it's all about execution and now going to offense, and we are doing the best effort in order to, you know, bring more clients into our ecosystem and go with strategic partnerships.
Ofer Druker: Thank you. Thank you.
Operator: Next question comes from the line of Laura Martin with Needham and Company. Your line is open.
Laura Martin: Good morning. Ofer, my first thought for you is about data. I think you said it grew by 100%. And I'm wondering if you could talk more granularly about what that product looks like and whether you foresee the data product growing that rapidly in 2025 and 2026.
Sagi Niri: Hey, Laura. Thank you for the question, and good morning. I think, yes, if you're talking, like, percentage-wise, yes, it grew dramatically, but the numbers over there are quite small right now. It's not that small. When we are talking about data products or, like, organic data products, we are talking about products as our discovery tool and the ID graph that we are catering and enabling clients to benefit. Specifically, and we are paying for that service on a usage basis. So for this product, we are seeing a very increased usage and engagement for clients. And we are managing to license more and more of this solution into our clients. Ofer, you want to add something?
Ofer Druker: I want just to add, or I want it. Usually, we prefer not to sell or to offer the data as a standalone product, but to offer it in the mix of other services, mostly media, and it's also different to say because as I mentioned also in our last call, about 90% of our campaigns are data-enriched. So when we are talking about data products, when we are talking about when we are basically offering data as a standalone product, which is usually not something that we push to do because we prefer to include it with media because then, of course, the margins and the activity is bigger for us.
Laura Martin: So is this separate from the Zeta CTV ACR data?
Ofer Druker: Mostly, it's about ACR. But in general, we are selling and offering data in many forms of many types of data to our clients. Most of the advertisers when they're building their audiences and targeting or measuring. But when we are talking about these data tools, we are talking mostly about the ACR data. Yes.
Laura Martin: Okay. And then, Sagi, a couple for you. One is now that you're 100% U.S., what's your thinking about moving IFRS to U.S. GAAP? And then secondly, can you remind us both the guidance is for 90% programmatic? The minus is the rest is the other 10% managed service, or what's the other 10% that isn't programmatic?
Sagi Niri: Okay. I'll answer both questions. So first of all, I will start with the second one. So when we are guiding that 90% or around 90% of our $380 million of guided net revenue for 2025, we are meaning that, you know, 90% will go through our full end-to-end ecosystem. And the other 10% is what we are calling legacy performance activities, which now are mainly through and related to influencer advertising that we are involved in. So in our eyes, although it's being transacted and through programmatic activities, it's not, like, really going through our end-to-end ecosystem.
Laura Martin: Okay. And can you remind me another the first question? What was the first question you asked?
Ofer Druker: She asked if IFRS to U.S. GAAP.
Sagi Niri: Yes. We had a, you know, a very fruitful discussion in our audit committee and board meeting in the last couple of days around that. And we are now looking for all the gaps between IFRS and U.S. GAAP accounting-wise and other related issues. And I think that we are intending to go to U.S. GAAP and probably better sooner than later. But you know, we are not guiding yet that we will go fully U.S. GAAP in 2025, but I think that, you know, you can think that we will do that.
Laura Martin: Great. Super helpful. Thanks, guys. Good numbers.
Sagi Niri: Thanks. Thank you.
Operator: Next question comes from the line of Andrew Marok with Raymond James. Your line is open.
Andrew Marok: Hi. Thanks for taking my questions. Maybe one on CTV if I could. So we've obviously seen the direction of travel on the demand side to be to open up to more partners. Interested on the supply side. I mean, typically, publishers on CTV have been working with fewer supply partners certainly than desktop display or mobile publishers. But have you seen the direction of travel that increasing? Have there been any certain catalysts behind that? And how much has that been helpful to your CTV business?
Ofer Druker: Thanks. Of course. Good morning. Yes. I think that you are right in the point that you mentioned that you could be major partners and publishers are lowering the number of partners that they got in order to sell their media programmatically. Our advantage on that matter is that we have our own demand. So it's not that we are offering just the connection point to the same demand sources like you have duplication of SSPs that these guys were using in the past, we can basically offer a lot of unique demand that is coming from our sales team. Which is why that's the reason that we are able still to grow our publisher base. And I feel that this is a major benefit that the publishers of CTV look at us, and I feel that the trend now is not to rely only on one or two sources of SSP, but to more people that can bring value. Meaning additional demands, unique demands, that they cannot get through the old relationship. So we see this move in the market, and it's helping us to grow our business. Helping us to widen our base of publishers and partners, and, of course, grow our revenues from CTV.
Andrew Marok: Oh, sorry. I was on mute. Thank you. Much appreciated.
Ofer Druker: Thank you.
Operator: And your last question comes from the line of Matt Condon with JPM. Your line is open.
Matt Condon: Thank you so much for taking my questions. My first one's just in the new generative AI product. You know, you're focused on ease of use and performance there. Can you just talk about the opportunity to potentially move down market into the SMB performance territory? Is that a focus or yeah. Just can you elaborate?
Ofer Druker: So you're asking if we can basically go down the path of the funnel and offer with AI more performance-based. I was more so just asking just the broadening of the advertiser base that you can address. Can you address now smaller, more SMB type performance advertisers just given generative AI is now reducing the ease of use of the platform and also increasing the performance.
Ofer Druker: Yes. I think that AI in general will enable us to and is enabling us already to simplify the usage of our platform. And you are right that in so many ways to operate the full platform that we, after we integrate into our platform, it's a very sophisticated platform, but you need to be a professional in order to use it. And we have a lot of professional partners that are using it. But if you are going to a smaller size advertisers and partners, it will be easier for them to do that with the AI tools that we are building right now. And our advantage also for these clients is that since we are sitting end-to-end and we can enable them to run different agents of AI across different across the advertisers and the publishers' side. The DSP and the SSP basically? Including the data, which is audio segmentation, creating audiences, targeting them, measuring them, and so on. So it will open more venues around it. In this stage that we are now, we are introducing this technology and these capabilities to our major partners. But down the road, I think it's, of course, some of our plan is to enhance the size of the audience that we are able to reach and also to increase what I thought you were asking, which is also, I feel a good question, is that basically, it will enable also people to get better results from the media because they will be able to utilize the data and the targeting and the platform and the optimizations in a much more meaningful manner. So I think it would do both. And we feel that we are in front of a very big revolution. We are making, like, a lot of steps now. We are introducing these tools right now to our major partners, but soon we will open it to more.
Matt Condon: Great. That's very helpful. And then maybe just a follow-up from an earlier question you said data licensing revenue. Can you just talk about the key levers for growth in 2025? Is it expanding to new DSPs? Or is it getting more out of The Trade Desk, StackAdapt? Just anything that you can highlight there would be very helpful. Thanks, guys.
Ofer Druker: Of course. I think that our growth is coming will come and is coming from a few trends. One of them is, of course, to win new business. As I mentioned before, our new messaging, our tightened messaging, a better go-to-market strategy, is helping us to win more business in the market, and I think that it's easier also because I think that our offering is basically responding and giving solutions to all the trends that are worrying and challenging our advertisers and publishers. So for them to find to work with us, it's resolving for them a lot of these issues. And they feel that we can give them a very strong solution to their needs. Which, of course, is super important and it enhances the growth. The second thing is also to grow our coin base. So we have a big base of partners and publishers already, and what we are now able to do is to basically enhance the engagement with our platform. And so in other ways, basically increasing the revenues that we are generating per client and per partner, which, of course, is very meaningful because, as you know, in this type of relationship, the trust to know each other, to trust each other, to have, like, working habits. It's super important. And when you have them, it's easier to grow the revenues across additional platforms and so on. So these are the two major things that we are doing. And we have a lot of room to grow around, meaning we have, as you can see also in our earnings today that we shared, that we have our own different formats like display, online video, and of course, TV. That is fulfilling and is giving, like, full solution to advertisers today. If in the past, some of these guys were using us only for video or CTV, and now they are expanding to display. If they were, like, display, they are now expanding to other formats, and, of course, it's very helpful, and it's growing our revenues with them in a very meaningful manner.
Matt Condon: Thank you so much.
Ofer Druker: Okay. So that's a good question and answer session.
Operator: I will turn the call back over to Ofer Druker for closing remarks. Thank you.
Ofer Druker: I think that when we look at 2024, as we wrote in the PR, I think that for us, it was back to basics. We worked very hard. We used before to make acquisitions, to integrate them, to consolidate them. To tighten out the message, to rebrand, and 2024 was a year that we felt that things came together and you considered by our results. And the momentum that we created over the year. And we believe that it's just, you know, setting the stage for the years to come. That we call the growth years, which will be this year and next year. And for that, we also onboarded additional talent people from the industry, grew and promoted people from within our company, and this is a great opportunity also to say thank you very much from full out. To all our employees around the globe. Let's work very hard in 2024 to make these results happen. You can see that it's a teamwork. It's not a one-star that created this change. It's a lot of people around the world that work together in order to make the change. And thank you to our clients and partners for the trust and patience to get to this point that we can generate for you amazing results and grow the base of our partnership together going forward. I wish us all that 2025 will be a good year. It started now in the last ten days. There is unrest in the public market, but I hope it will resolve and it will let us fulfill our potential in this year and going forward. So thank you very much.
Operator: Conclude today's conference call. You may now disconnect. Please wait. The conference will begin shortly.